Operator: Greetings, and welcome to The Chefs' Warehouse Third Quarter 2025 Earnings Conference Call. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Alex Aldous, General Counsel, Corporate Secretary, and Chief Government Relations Officer. Please go ahead, sir.
Alexandros Aldous: Thank you, operator. Good morning, everyone. With me on today's call are Chris Pappas, Founder, Chairman, and CEO; and Jim Leddy, our CFO. By now, you should have access to our third quarter 2025 earnings press release. It can also be found at www.chefswarehouse.com under the Investor Relations section. Throughout this conference call, we will be presenting non-GAAP financial measures, including, among others, historical and estimated EBITDA and adjusted EBITDA as well as historical adjusted net income, adjusted earnings per share, adjusted operating expenses, adjusted operating expenses as a percentage of net sales and as a percentage of gross profit, net debt, net debt leverage, and free cash flow. These measures are not calculated in accordance with GAAP and may be calculated differently in similarly titled non-GAAP financial measures used by other companies. Quantitative reconciliations of our non-GAAP financial measures to their most directly comparable GAAP financial measures appear in today's press release and third quarter 2025 earnings presentation. Before we begin our formal remarks, I need to remind everyone that part of our discussion today will include forward-looking statements, including statements regarding our estimated financial performance. Such forward-looking statements are not guarantees of future performance, and therefore, you should not put undue reliance on them. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. Some of these risks are mentioned in today's release. Others are discussed in our annual report on Form 10-K and quarterly reports on Form 10-Q, which are available on the SEC website. Today, we are going to provide a business update and go over our third quarter results in detail. For a portion of our discussion this morning, we will refer to a few slides posted on The Chefs' Warehouse website under Investor Relations section titled Third Quarter 2025 Earnings Presentation. Please note that these slides are disclosed at this time for illustration purposes only. Then we will open up the call for questions. With that I will turn the call over to Chris Pappas. Chris?
Christopher Pappas: Thank you, Alex, and thank you all for joining our third quarter 2025 earnings call. Business and demand trends improved sequentially through the third quarter and momentum in demand and market share gains continued into October. Our operating divisions across domestic and international markets delivered strong growth in revenue and gross profit dollars as well as continued progress, increasing relevance with our customer base with strong year-over-year growth in unique item placements. As we head into the busy holiday season, I would like to thank all our Chefs' Warehouse teams from sales and procurement operations to all the supporting functions for their dedication and commitment to delivering our diverse and high-quality product, service in partnership with our suppliers and customers and the communities we serve. As a reminder, earlier in 2025, we eliminated 2 noncore programs in Texas that came with the acquisition of Hardie's in 2023. These programs -- one protein program focused on high-volume, low-dollar poultry, and another produce processing and packaging program -- together only represented approximately 1% of our revenue. As such, until we lap this attrition in the second quarter of 2026, we will present price and volume metrics as reported and also excluding the impact of these changes to present more representative year-over-year price inflation and volume changes for our business overall. With that, please refer to Slide 3 of the presentation. A few highlights from the third quarter include 9.6% growth in net sales. Specialty sales were up 7.7% over prior year, which was driven primarily by unique placement growth of 5.3%, reported specialty case growth of 3.2%, and price inflation. Excluding the elimination of the Texas produce processing and packaging program, specialty case growth was 5.4% versus the prior year quarter. Unique customer growth, 2.6% year-over-year. Reported unique customer growth was impacted by the Texas commodity poultry attrition and the temporary impact of the heightened conflict in the Middle East during the summer months. Despite the temporary summer impact, our Chefs' Middle East business continued to grow and exceed our expectations. Excluding these impacts, third quarter year-over-year unique customer growth was approximately 5.8%. Pounds in center-of-the-plate were approximately 1.1% lower than the prior year third quarter. Excluding the attrition related to the Texas commodity poultry program, center-of-the-plate pounds growth was 9.6% higher than prior year third quarter. Gross profit margins increased approximately 7 basis points. Gross margins in the specialty category increased approximately 59 basis points as compared to the third quarter of 2024, while gross margin in the center-of-the-plate category decreased approximately 49 basis points year-over-year. Jim will provide more detail on gross profit and margins in a few moments. Please refer to Slide 4 for an update on certain of our operating metric improvements. In summary, Chart 1 shows continued improvement in gross profit dollars per route. Third quarter 2025 trailing 12 months was 4% higher versus full year 2024 and 37.8% higher than 2019. Chart 2 shows third quarter 2025 trailing 12-month adjusted EBITDA per employee increased 9% versus full year 2024 and 28% versus 2019. Third quarter 2025 trailing 12-month adjusted operating expense as a percentage of gross profit dollars improvement by 114 basis points versus full year 2024 and 206 basis points versus 2019. Subsequent to the close of our fiscal third quarter on October 1, 2025, we completed the acquisition of Italco Food Products, a small specialty food and ingredient distributor located in Denver, Colorado. We are excited for the Italco team to join The Chefs' Warehouse family of companies and brands. We look forward to leveraging our unique CW go-to-market and supply chain model as we grow into the dynamic urban and resort markets in the Centennial State. With that, I'll turn it over to Jim to discuss more detailed financial information for the quarter and an update on our liquidity. Jim?
James Leddy: Thank you, Chris, and good morning, everyone. I'll now provide a comparison of our current quarter operating results versus the prior year quarter and provide an update on our balance sheet and liquidity. Please refer to Slide #5. Our net sales for the quarter ended September 26, 2025, increased approximately 9.6% to $1.021 billion from $931.5 million in the third quarter of 2024. Net inflation was 7.4% in the third quarter, consisting of 4.4% inflation in our specialty category and 12.3% inflation in our center-of-the-plate category versus the prior year quarter. Reported inflation was impacted by 2 primary factors in the third quarter versus the prior year quarter. Center-of-the-plate inflation was impacted by the commodity poultry program attrition in 2025. Excluding this attrition impact, net inflation in the center-of-the-plate category was 5% versus the reported 12.3%. Continued growth in specialty cross-sell, as we further integrate CW and Hardie's results in elevated reported specialty third quarter inflation. Excluding this impact, specialty inflation was approximately 2.1% and overall inflation for the company was approximately 3.3% versus the prior year quarter. Gross profit increased 10% to $247.2 million for the third quarter of 2025 versus $224.7 million for the third quarter of 2024. Gross profit margins increased approximately 7 basis points to 24.2%. Selling, general, and administrative expenses increased approximately 7.9% to $208.1 million for the third quarter of 2025 from $192.9 million for the third quarter of 2024. The increase was primarily due to higher costs associated with compensation and benefits to support sales growth, higher depreciation driven by facility and fleet investments, and higher self-insurance-related costs. Adjusted operating expenses increased 7% versus the prior year third quarter. And as a percentage of net sales, adjusted operating expenses were 17.8% for the third quarter of 2025. Operating income for the third quarter of 2025 was $38.9 million compared to $31.9 million for the third quarter of 2024. The increase in operating income was driven primarily by higher gross profit, partially offset by higher selling, general, and administrative expenses versus the prior year quarter. Our GAAP net income was $19.1 million, or $0.44 per diluted share, for the third quarter of 2025, compared to net income of $14.1 million, or $0.34 per diluted share, for the third quarter of 2024. On a non-GAAP basis, we had adjusted EBITDA of $65.1 million for the third quarter of 2025 compared to $54.5 million for the prior year third quarter. Adjusted net income was $21.5 million, or $0.50 per diluted share, for the third quarter of 2025, compared to $15.4 million, or $0.36 per diluted share, for the prior year third quarter. Turning to the balance sheet and an update on our liquidity. Please refer to Slide #6. At the end of the third quarter we had total liquidity of $224.6 million, comprised of $65.1 million in cash and $159.5 million in availability under our ABL facility. As of September 26, 2025, total net debt was approximately $575.2 million, inclusive of all cash and cash equivalents, and net debt to adjusted EBITDA was approximately 2.3x. Turning to our full year guidance for 2025. Based on the current trends in the business, we are updating and raising our full year financial guidance as follows. We estimate that net sales for the full year of 2025 will be in the range of $4.085 billion to $4.115 billion, gross profit to be between $987 million and $995 million, and adjusted EBITDA to be between $247 million and $253 million. Please note, for the full year 2025, we expect the convertible notes maturing in 2028 to be dilutive, and therefore, we expect the fully diluted share count to be approximately 46 million shares. Thank you. And at this point, we will open it up to questions. Operator?
Operator: [Operator Instructions] The first question comes from the line of Alex Slagle from Jefferies.
Alexander Slagle: It sounds like case growth trends and [ volume backdrop ] improved sequentially through the 3Q and [Technical Difficulty] just given some of the choppiness we've heard elsewhere in the industry. And I know you're also lapping some tougher results. So just curious if you could expand on these trends [Technical Difficulty].
James Leddy: I think from a Q3 standpoint, the last couple of years, we've mentioned that July and August were a little weaker than we expected, given all the international travel. I think we didn't really see that impact this year. So while July and August are seasonally some of the weaker months in the food distribution industry in general, we actually saw a very good summer results. And then September was strong. And as we mentioned in our prepared remarks, trends continued into October. So the fourth quarter is looking pretty good at this point.
Alexander Slagle: Any thoughts on the potential impact of the government shutdown as you look ahead and I know you mentioned the Middle East. Maybe you can give an update on [Technical Difficulty].
Christopher Pappas: Yes, you're breaking up a little bit, Alex. But right now, where we sit, we're always cautiously optimistic. The fourth quarter, we think it's going to perform pretty well. The Middle East is performing. I think Qatar took a little hit, but the Dubai and Abu Dhabi, Oman, I think our business is really strong. Our major markets are all performing well. And I think a lot -- again, it comes down to we got way ahead of it a long time ago, started to invest in the facilities for capacity and invest in the sales force, invest in the technology. And I just think that whatever headwinds are out there, the team is just doing a phenomenal job of gaining market share and winning in a lot of categories. And I think that's why you see such great numbers.
Alexander Slagle: And the first part of the question was on the government shutdown in the U.S. and just whether you expected any impact...
Christopher Pappas: I think there might be a little effect maybe in D.C. or something. But our customers' customer base is skewed to obviously a lot of business meals and upper casual to high end. We've lived through a bunch of government shutdowns. We never saw a real big impact.
James Leddy: We haven't seen a material impact to date, Alex.
Operator: We take the next question from the line of Mark Carden from UBS.
Mark Carden: So to start, just building on the 4Q commentary a bit. So the midpoint of your updated guidance, it implies a notable slowdown in adjusted EBITDA growth and little-to-no margin expansion. Just curious if this reflects some conservatism. I know the compare is a bit tougher, but is there anything else that we should be keeping in mind there?
James Leddy: No, Mark, I don't think so. I think we raised the full year revenue guidance by $50 million to $70 million from the midpoint to the higher end. I think we feel pretty good about the mid-to-higher end of the guidance at this point given what we've seen in October. As you know, we're always a little bit on the conservative side in terms of guidance. And we raised adjusted EBITDA by $5 million to $7 million from the mid-to-higher point. So it implies a pretty healthy 7% to 7.5% year-over-year Q4 revenue growth and full year 8% to 8.5%, which would be slightly lower than what we've seen year-to-date. But I think it implies a really healthy 10% flowthrough on that revenue growth to adjusted EBITDA. And so, yes, I think that's where we ended up.
Mark Carden: And then you guys talked about the acquisition of Italco in Colorado. I know that Rockies are a growth geography for you guys. Does this solve a lot of your capacity desires there? Would you need to do more? And then just more broadly, with some of the economic uncertainty that's out there, have you noticed any shifts in M&A backdrop?
Christopher Pappas: Yes. Well, listen, I 100% agree, the Rockies is a great -- it's going to be a great market for us. You have all the resorts and Denver is a dynamic town and they've had good population growth from, I'd say, from the higher end. Obviously, Aspen has always been pretty higher end. But we've been talking with the company that we just acquired for many, many years. We were very familiar with them, very similar product catalog. Obviously, it's a small business, but we think it's going to be a great, great market for us. And the M&A market, I mean, it's pretty frothy. It's been like that for a while. We've been really, really conservative because we just have so much positive momentum going on with all the facilities that we've just opened and all the people we've hired in the last 5 years. So we've just been really, really picky and careful and just pick spots that really make sense for us because I just think we have so much momentum in the organic growth. And it's just -- it's a good time to be able to sit back and just be really picky.
Operator: Thank you. We take the next question from the line of Brian Harbour from Morgan Stanley.
Brian Harbour: I was curious, have you actually seen accelerating share gains perhaps recently? Or could you talk about how your market share has trended lately?
James Leddy: Well, Brian, we have -- given the investments that we've made coming out of COVID the last couple of years in capacity expansion in markets like the Middle East and the Northwest and Florida and Southern California and even in the New York metro area, we have a number of markets that are growing at different phases. We have -- our high-growth markets are growing low double digits to anywhere between 10% and 20%, and we have our mature markets still growing very healthily. And as we add categories in those high-growth markets that are maybe underpenetrated from in terms of the opportunity, we're obviously taking market share, growing penetration, and adding a lot of new customers, and then doing things the same but maybe on a slightly smaller scale in our more mature markets as we continue to add categories and grow. So it's different in every region, but that's part of our model is to grow that way.
Brian Harbour: And could you maybe talk a little bit more just by types of customers that you serve? You're seeing this acceleration here. Is that true with nonrestaurant customers? Is it true with the different types of restaurants that you serve? Could you just dig into that a bit?
Christopher Pappas: Yes. Well, again, we're obviously the smallest of the public companies. And I always say we are really a marketing company that also distributes. So we're really very differentiated from the big 3 broadliners -- public broadliners. So I think it is a little confusing when you really look at who Chefs' Warehouse is, we are servicing -- obviously, there's overlap. We always have competition. Our motto is anybody that has a truck is a competitor. So we have that competitive nature. But we really do beat to a different drum. It's a much more complicated logistical business that we've put together over 40 years. And the way we go to market and the customer base, it's very diverse, purposely that way because I've lived through all the past recessions and things that can go wrong, obviously, COVID. So it's pretty diverse, and it was strategically created that way. So we do have a balance. And no one is immune to a big headwind. But we like the position -- where we're positioned in the market, and we're cautiously optimistic that our customer base is more resilient than the overall food-away-from-home market.
Operator: We take the next question from the line of Peter Saleh from BTIG.
Peter Saleh: Congrats on a great quarter. Maybe I just wanted to ask on inflation and beef costs. There's been a lot of discussion. There's been a lot of inflation in beef. What are you guys seeing? It doesn't seem like it's impacting your margins, at least not in the third quarter. Any thoughts on the go forward and the overall beef market and the impact on financials?
James Leddy: Yes. I think what you saw in the third quarter, Pete, was an elevated level of inflation year-over-year. I think protein prices have been pretty firm the entire year. So some of it is the year-over-year comparisons. But when you exclude the Texas transition, it's around 5% year-over-year. So definitely elevated. Our year-over-year protein margins were down versus prior year, but we got really good gross profit dollar growth because when you have that level of inflation, you're not going to pass all of it on to your customer, and you're going to get it back over time as you hold prices a little bit and drag them down a little slower when the market comes down. So I think our team has done a good job of managing through this inflationary environment in terms of securing the supply chain. We sell the highest quality proteins in the industry to the best restaurants and steakhouses. So I think they've done a good job of navigating this inflationary environment.
Peter Saleh: And then just on the Chefs' Middle East business, I think you mentioned there was maybe a little bit of a step back, which makes sense. Has that started to recover again as we head into the fourth quarter here? Just curious as to the trajectory on that business.
James Leddy: Yes. We just highlighted that our unique customer growth, which is usually in the mid- to high mid-single-digit year-over-year type of growth, consistent with our placement growth and volume growth. It was impacted by obviously the attrition in Texas, the Texas transition of those low-margin customers. And then in the Middle East, during the summer when you had the Qatar conflict, we had some customers shut down for a couple of months, but they've started to come back online, and those 2 things impacted our unique customer growth. We really just highlighted The Chefs' Middle East just for that temporary impact. Overall, the business continues to grow really nicely. As you know, we've expanded not only our Dubai facility, but we've also recently expanded our facility in Qatar, and then we're pretty close to finishing our facility in Oman. So we're expanding our capacity in all 3 of those markets, and we're seeing really nice double-digit growth, and they continue to improve -- a good amount of our elevated protein volume growth in the quarter year-over-year was driven by our nascent but really well-growing protein program that we've started to enhance in the region.
Operator: We take the next question from the line of Kelly Bania from BMO Capital Markets.
Kelly Bania: I wanted to just go back a little bit to the acceleration in the past couple of months. Just curious if you can talk about that a little bit more in terms of how that played out between your mature markets and maybe your higher growth markets, if that's more broad-based, or if there's any particular categories or regions that are standing out in terms of how that played out through the quarter in terms of the growth rates.
Christopher Pappas: Yes. I think you got to look at it, Kelly, that obviously, the bigger markets have more impact on our numbers, and they're doing great. The smaller markets, obviously, their percentage growth is higher, but it's from a smaller number. So I think that -- I know it's hard to look at from your seat -- it's so diverse now, Chefs' Warehouse that we're pretty much -- I mean, there's a few exceptions, and they're minor in the total volume. But we're accelerating growth in so many different categories and in smaller markets that it's hard to really give you a total picture. But from my desk, obviously, I look at categories, I look at subcategories, I look at the major territories, outer territories. And I just think the team has done such a great job executing the vision that we want to be the partner of the chef in that mid-to-high casual all the way up to super-fine dining. And I just think they're really executing. And obviously, they're taking market share, and they're also winning on a lot of what's opening, , which is really important for us because just our natural attrition is, say, 7% to 10%. So it's so important for us to keep growing the account base and the category base, especially when you have negative news all over the news that some customer accounts are [ down ]. I just think our customer base -- again, we're small compared to if you're going to put us in the distribution world, we're really boutique. And we like being boutique, and we like where we are, and I just think it's hard to compare us to everything else and all the noise that's out there.
Kelly Bania: Just to follow- up on that, and then wanted to ask about the acquisition. But how much do you, Chris, attribute this to just the training that you've been investing in with the sales force and some of the education and tools that you're giving the sales force?
Christopher Pappas: Yes. I think a lot. Again, we're celebrating our 40th year, and I've been looking at these numbers for probably 42 years, even while we were trying to get going. So it takes so much to train the team to -- especially to sell the premium products that we sell. It's not overnight. You got to invest way ahead of time. And I just think the team is doing such a fabulous job executing, and you have to be at this level. And our digital team, our IT team, we're giving them all the tools that you need today. And everyone talks about AI. Of course, we're using AI and investing in AI. And I think everybody is going to have good AI. I don't think that's going to be the differentiator at the end of the day. You have to have it, but the customer needs to want to do business with you. We always say, Chefs' not for everyone. And of course, we want to sell more and more products, but we're really disciplined on who we are, and we're not for everyone. So I think the AI tools are making us better. I think we're right there, world-class, with everybody else and where we're investing, and we're getting a great return on those tools. But at the end of the day, you still have to satisfy the customer in every way. You have to have the service and you have to be likable. And I think our laser focus on our customer base and who we are and not trying to be someone else, I think that's what I see -- I think you're seeing the results from that.
Kelly Bania: Can I just ask one more about the acquisition, I think Italco? Just maybe what stood out about that acquisition? It's been a while. I'm sure there's a lot of potential targets on your desk. What stood out? Why does this make sense for Chefs' now? And can you just talk a little bit about the margin structure and the quality of their book of business and how much it aligns with Chefs' philosophy on the quality customer?
Christopher Pappas: Great question. And again, it is a small acquisition. It's really a super-high-quality company, great people. We've known them for years and years and years. We just were so busy with so many other markets and all the facilities that we're putting up, getting going, and all the categories we've invested in that, thank God, they were very patient and waited for us because it's one of the -- I would say, one of the last, I'd call like really pure specialty businesses. We bought a bunch of these early on when we went public, and we were getting our foot into all the states. We said we're going to be in just about every -- in every NFL city, except maybe Green Bay. And they were really one of the last small boutique companies that for us, it was like a no-brainer. They have a similar catalog of high-end products. They service a ton of customers. Their offerings are much more narrow than us. So that's why we're really excited about this because with Chefs' Warehouse, catalogs, and all our teams going in there, doing training, hiring, we're going to hire a lot of salespeople throughout Colorado, and obviously, boutique places like New Mexico, and they're going to all the mountains and resorts. And we just are really excited that this is going to be a great Chefs' Warehouse over the next 10 years.
Operator: We take the next question from the line of Margaret-May Binshtok from Wolfe Research.
Margaret-May Binshtok: I just wanted to ask if you guys continue to see progress with digital penetration, trying to get towards your long-term goal through the quarter and if there's anything to call out in terms of how digital penetration is helping you guys gain relevance with your existing customers?
Christopher Pappas: Yes. The digital team has done a great job, and it's making the sales force more and more efficient. I think the whole goal of this is to be able to do more with less. And I think we're having great success. But we continue to really rely on our tremendous sales force really to push penetration. I think the digital tools are great support, and it's giving us that last extra -- I always say it gives you that last extra yard getting into the -- to score a touchdown. So we continue to invest in it. It continues to give us a great ROI, and it's just part of what I call the go-to sales strategy of Chefs' Warehouse.
James Leddy: And Margaret, on adoption, we didn't have it in the presentation this quarter, but we're a little bit over 60%. So it continues -- on the specialty side, we continue to drive adoption.
Margaret-May Binshtok: And then just one more. Anything to call out in terms of business-related travel? Are you seeing any weakness there?
Christopher Pappas: I mean, we hear a lot of complaints. We hear complaints, especially like in Las Vegas. The Canadians aren't coming. We hear that in Florida as well. But in so many of our major cities, there's someone eating all this food. So I think there's lots of domestic tourism still. And in the Middle East, they continue to have great tourism. So we hear noise, but we look at our results, and we're really happy with them. So it'd be great if there was a big boom again with our friendly neighbors. I think that would obviously juice the returns even more. But we hear a lot, but we see the numbers, and we say someone is traveling.
Operator: We take the next question from the line of Todd Brooks from The Benchmark Company.
James Leddy: A couple of questions. First, and Jim, you talked about when you were thinking about the updated guidance and being comfortable with the mid-to-upper end of the revenue guidance. And Chris, you've been doing this a long time. When you're through October and you're talking to your customers now, what's the sense of trend being locked in for a good holiday season based on the momentum that you've seen build across September and October?
Christopher Pappas: I'm always cautiously optimistic. We just did -- we just had a bunch of big shows in a lot of our markets. So I was fortunate enough to get out and attend and speak to a lot of customers. And it can always change. We live in really interesting times. A few tweets and the sentiment changes, but we're hearing good holiday bookings. So I was really enthused to hear that a lot of the holiday bookings are pretty strong. So we're really cautiously optimistic it's going to be a good quarter..
Todd Brooks: And then my last question. You've seen a lot, Chris. You've been doing this for over 40 years, like you said. So I get a lot of incoming calls about, well, if Performance and U.S. Foods get together, isn't that bad for Chefs'. Can you talk about just historically when you've seen big consolidations in the industry, what it's meant for the Chefs' Warehouse as far as maybe customers to be had, sales force talent to be had, I think that might clear up some of the maybe trepidation that some people think about the combination potentially happening.
Christopher Pappas: Great question. And I could just go by historically, what we've seen -- and even when we do an acquisition, when we look at an acquisition, we're looking at it for long term. Obviously, fold-ins are very synergistic, because you usually just take in the sales force and you're getting the efficiency on trucks and customer service and the back office and all that wonderful stuff. But we always model going backwards in most acquisitions. Not all. Colorado, we think, it's really small, but we think because it's so small, once we get everything squared out, it's just going to be an explosive market for us. But historically, we go backwards when we do an acquisition because customers usually want to hedge their bet, they're not sure, and all that wonderful stuff. And when we've seen big acquisitions from in territories, we usually get a nice uptick. And again, a lot of it is customers want to hedge their bet or salespeople are nervous and there's a lot of integration and a lot going on. So if this big deal goes through, we are cautiously optimistic that it could be really, really good for CW just from the fact that customers are going to want to hedge their bet, and we'll pick up a lot of new business.
Operator: We take the next question from the line of Ben Klieve from Lake Street Capital Market.
Benjamin Klieve: Congratulations on a really good quarter here. I've got a question about your organic growth initiatives over the last year or 2. They're really starting to, I would expect, fill in. And I'm wondering if there's anything to call out operationally out of Texas, Florida, California that has maybe been a surprise or an operational challenge as you go into the holiday season. Have those organic investments continued to hum as expected? Or has there been any issues to call out?
Christopher Pappas: Yes. I don't think I've woken up one day in 42 years where there [ isn't ] an issue. It's the nature of a service company. But yes, I mean, we have such a great team at this point. We're never satisfied. Obviously, every day we're trying to get better. Most markets, again, we're really cautiously optimistic they're going to have a great fourth quarter and a great 2026. The biggest opportunities for us are places like Texas, where we're just -- we're really new, even though we bought a company that's historically been in the market, but as Chefs' Warehouse, we're still in the first inning. So we're just so excited about the opportunity for that growth over the next 10 years. Florida, we made the big investment. We're getting a great ROI. We've got an incredible team, and we still think that we're in the first inning there, but we're really excited. L.A. has got a new facility, and they're having great growth. So we're really excited about that. We got our new protein facility up and running in Richmond, and they're having a great year. And we have great hopes for '26 and beyond. So I don't think there's a market that I'm not really -- I have any complaints about and couldn't be more proud of what they're doing. But the big opportunity in a market that we're just really new in, like Texas, I think, is really exciting.
Benjamin Klieve: Well, congratulations again to both of you and the whole team on a good quarter and a good outlook here for the fourth quarter.
Operator: Thank you. Ladies and gentlemen, as there are no further questions, I would now hand the conference over to Chris Pappas for his closing comments.
Christopher Pappas: Yes. Well, once again, I want to thank the team at CW. They've done a phenomenal job and really excited what they're going to do in '26 and beyond. And we thank all our investors and analysts for joining our call, and we look forward to the next call. And thank you again for joining.
Operator: Thank you. Ladies and gentlemen, the conference of The Chefs' Warehouse has now concluded. Thank you for your participation. You may now disconnect your lines.